Operator: Good day, and welcome to the Altria Group 2022 Fourth Quarter and Full Year Earnings Conference Call. Today’s call is scheduled to last about one hour, including remarks by Altria’s management and the question-and-answer session. Representatives of the investment community and media on the call will be able to ask questions following the conclusion of the prepared remarks. I would now like to turn the call over to Mac Livingston, Vice President of Investor Relations for the Altria Client Services. Please go ahead, sir.
Mac Livingston: Thanks, Todd. Good morning. And thank you for joining us. This morning, Billy Gifford, Altria’s CEO; and Sal Mancuso, our CFO, will discuss Altria’s fourth quarter and full year business results. Earlier today, we issued a press release providing our results. The release, presentation, quarterly metrics and our latest corporate responsibility report are all available at altria.com. During our call today, unless otherwise stated, we’re comparing results to the same period in 2021. Our remarks contain forward-looking and cautionary statements and projections of future results. Please review the forward-looking and cautionary statements section at the end of today’s earnings release for various factors that could cause actual results to differ materially from projections. Future dividend payments and share repurchases remain subject to the discretion of Altria’s Board. Altria reports its financial results in accordance with U.S. Generally Accepted Accounting Principles. Today’s call will contain various operating results on both a reported and adjusted basis. Adjusted results exclude special items that affect comparisons with reported results. Descriptions of these non-GAAP financial measures and reconciliations are included in today’s earnings release and on our website at altria.com. Finally, all references in today’s remarks to tobacco consumers or consumers within a specific tobacco category or segment refer to existing adult tobacco consumers 21 years of age or older. With that, I’ll turn the call over to Billy.
Billy Gifford: Thanks, Mac. Good morning. And thank you for joining us. It was an exciting year for Altria as our businesses delivered strong financial performance, and we continued to strategically invest toward our vision. We grew our adjusted diluted earnings per share by 5%, and our tobacco businesses remained resilient and successfully executed their strategies. We also returned significant cash to shareholders through dividends and share repurchases. Last year, we returned more than $8.4 billion to shareholders, outpacing our record returns from 2021 and representing the largest single year cash return since 2002. Our vision guided our actions, and we believe we made meaningful progress on our journey toward moving beyond smoking. Our teams took several steps forward during the year, including accelerating the growth of on! nicotine pouches, creating long-term optionality for our inhalable smoke-free product portfolio, enhancing our digital consumer engagement and continuing to advocate for tobacco harm reduction. Helix grew on! reported shipment volume to 82.5 million cans during its first full year of unconstrained manufacturing capacity, an increase of more than 70% versus the prior year. At retail, on! share momentum continued in the fourth quarter as the brand reached 5.9% of the total oral tobacco category and 24% of the nicotine pouch category. This impressive performance was driven by continued increases in brand awareness and adoption by smokers and dippers. Additionally, we believe Helix effectively managed on! promotional spend as the year progressed and reduced on! promotional spend per can by approximately 15% during the second half of the year compared to the first half. In oral tobacco product development, we are excited to announce we have finalized a new product design, which will provide tobacco consumers more smoke-free options within our portfolio. We also began regulatory preparations for the product, and we are encouraged by the initial research results and the response we have received from dippers and nicotine pouch users. We look forward to sharing more details and unveiling this innovative product at our Investor Day next month. Turning to our inhalable smoke-free portfolio. We created long-term optionality in the heated tobacco and e-vapor spaces. Internally, we have not yet finalized the design of our heated tobacco capsule product, but our teams continue to make progress. The consumer remains the focal point of our innovation system and our teams are tailoring the product to appeal to smokers who have not yet found a satisfying alternative to cigarettes. We also look forward to unveiling this exciting new product at our Investor Day next month as well. And in October, we announced a strategic partnership with JT Group, including a joint venture for the U.S. commercialization of heated tobacco stick products. We’re encouraged by the initial collaboration between our teams and the pace at which they are operating. Horizon is optimizing team for the U.S. market and plans to begin regulatory preparations later this year. We’re excited about the opportunity and are working diligently to bring Ploom to smokers in the U.S. In e-vapor, we previously announced we elected to be released from the noncompete obligations related to our JUUL investment. We retain our economic stake in JUUL. E-vapor remains the largest smoke-free category in the U.S. and the most successful category in transitioning U.S. smokers away from cigarettes. We believe the category can play an important role in harm reduction, and we’re continuing to evaluate all options to best compete in the category. Next, let’s discuss the progress we made to enhance our digital consumer engagement. We launched a new digital trade program last spring, and we believe this program enhances our ongoing commitment to responsible retail. The program includes multiple participation options for retailers. For those participating at the highest level we introduced incentives for retailers to include age and identity verification solutions in their digital platforms. And once the consumer is verified, retailers can then provide offers and messaging from our brands within the retailer’s app. I’m excited to share that we implemented these solutions in more than 33,000 stores, exceeding the goal we outlined last year at CAGNY. Currently, consumers can view offers from our smokeable and more smokeless tobacco brands. But going forward, we expect to expand the program to include on! and other smoke-free brands. As we continue to broaden our digital reach, data will help us better understand each smoker’s journey and help them successfully transition to other smoke-free alternatives in our portfolio. Moving to the regulatory environment. We remain optimistic about the future of harm reduction in the U.S. We believe we have an unprecedented opportunity to lead the way in shifting millions of smokers to smoke-free alternatives, if we follow the science and foster innovation with the support of reasonable regulation. In December, the Reagan-Udall Foundation published its operational evaluation of the FDA’s Center for Tobacco Products. We were among the stakeholders who provided input into this evaluation. Among its recommendation, the report urges the FDA to clearly define product pathways and accelerate PMTA decision-making, take enforcement actions against manufacturers and products in violation of the law and address the need for risk communications to tobacco consumers. We agree these are important opportunities and believe that the FDA should direct its focus toward implementing a framework to advance harm reduction, rather than focusing on prohibition policies that we believe will further expand the illicit market and create other unintended consequences. Let’s now move to the operating environment. We estimate that total equivalized tobacco volumes declined 6% for the year and 1.7% over the past five years on a compounded annual basis. Combustible volumes declined by an estimated 7.8% last year as smokers faced increasing economic challenges. We are encouraged that smoke-free volumes were stable compared to the prior year at 3.8 billion equivalized units and now represent an estimated 26% of the total tobacco space. E-vapor has been a major contributor to the growth of smoke-free products over the five-year period. Although volumes declined by an estimated 1% year-over-year amid considerable regulatory uncertainty such as the FDA from denial order and subsequent temporary stay on JUUL products, which caused market disruptions for both consumers and retailers. In oral tobacco, volumes grew by an estimated 1.5%, driven by the continued adoption of all nicotine pouches. Turning to our financial outlook. Our plans for 2023 include a continuation of our strategy to balance earnings growth and shareholder returns with strategic investments towards our vision. For 2023, our planned investment areas include: continued smoke-free product research, development and regulatory preparations; digital consumer engagement; and marketplace activities in support of our smoke-free products. We believe the external environment will remain dynamic in 2023. We will continue to monitor the economy, including the impact of high inflation, tobacco consumer dynamics, and regulatory and legislative developments. Considering these factors, we expect to deliver 2023 full year adjusted diluted EPS in the range of $4.98 to $5.13. This range represents an adjusted diluted EPS growth rate of 3% to 6% from a $4.84 base in 2022. Before I turn it over to Sal, I would like to send a sincere thank you to our employees. I continue to be impressed by the talent within our companies and our ability to adapt and overcome challenges in a dynamic operating environment. The passion and dedication of our employee base is evident, and I’m confident in our ability to execute our vision because of you. Also, I’d like to honor the memory of Leo Kiely, the long-standing member of our Board who recently passed away. Leo served on our Board since 2011 and made many contributions to Altria, including as Chair of the Compensation and Talent Development Committee and as a member of the Innovation Committee. We will miss his leadership, guidance and friendship. I’ll now turn it over to Sal.
Sal Mancuso: Thanks, Billy. We were very fortunate to have Leo’s 12 years of service at Altria and our thoughts remain with the Kiely family. Moving to our results. Our tobacco businesses generated strong financial performance again this year and were responsive to changes in a dynamic external environment. In the fourth quarter, the smokeable products segment grew its adjusted operating companies income by 4% and expanded its adjusted OCI margins to 58.4%. The segment also reported robust net price realization of 13.5%. As a reminder, manufacturer price realization does not reflect retail price changes for smokers. For example, Marlboro net retail pack price increased 6.4% in the fourth quarter compared to last year. We continue to successfully execute against our strategy in the smokeable segment, maximizing profitability while balancing investments in Marlboro with funding the growth of smoke-free products. For the full year, smokeable segment adjusted OCI grew 2.9% to $10.7 billion, and adjusted OCI margins expanded by 1.4 percentage points to 59%. In smokeable segment net price realization for the year was 11.1%. In addition, over the past five years, the smokeable segment has grown adjusted OCI by $2.2 billion, representing a compounded annual growth rate of 4.7%. Over the same time period, adjusted OCI margins have expanded from 51% to 59%, an impressive increase of 8 percentage points. Turning to volumes. Our smokeable products segment reported domestic cigarette volumes declined 12.1% in the fourth quarter and 9.7% for the full year. When adjusted for calendar differences and trade inventory movements, domestic cigarette volumes for the fourth quarter and full year declined by an estimated 11% and 9.5%, respectively. At the industry level, when adjusted for trade inventory movements, calendar differences and other factors, we estimate that adjusted domestic cigarette volumes declined by 9% in the fourth quarter and by 8% for the full year. Next, let’s discuss retail share performance. Full year retail share for the industry discount segment increased 1.4 share points. We believe these results were driven by an increased pressure on smokers’ disposable income and increased competitive activity, including multiple branded discount offerings priced at deep discount levels. Marlboro retail share declined by 0.4 for the full year. Most of the full year share losses were attributable to the value options within the Marlboro brand family, such as Special Select and Marlboro 72s as some price-sensitive consumers continue to seek additional price relief. Meanwhile, the brand’s mainline non-menthol offerings, including the iconic red and gold pack varieties were resilient and performed well for the year. Marlboro’s share of the premium segment grew to 58.2% for the full year. Marlboro has performed better than many other premium brands over the last several years. In fact, over the past three years, Marlboro grew its share of premium by 1 full share point. We are encouraged by Marlboro’s resilient performance as the brand celebrates 50 years of leadership in the cigarette category. In cigars, reported cigar shipment volume decreased 4% for the full year. While Black & Mild continued to maintain its leadership in a profitable machine-made tip cigar segment. Next, we will move to the oral tobacco products segment. Full year segment adjusted OCI and adjusted OCI margins contracted as we continued to invest behind on!. Total segment reported shipment volume declined 2.4% for the year as growth in on! volume, which more than offset by lower reported MSP volumes. When adjusted for trade inventory movements and calendar differences, we estimate that full year total oral tobacco segment volumes declined by an estimated 2%. Full year oral tobacco products segment retail share declined 1.3 percentage points as declines in MST were partially offset by the continued growth of on!. Within the traditional smokeless category of MST and snus products, Copenhagen’s share performance has been stable over the last three years, declining only 0.3 from 2019, whereas the second largest traditional smokeless brand has ceded 1.6 share points. Overall, we continue to be encouraged by the performance of our oral tobacco products as on! grew volume and share in a competitive category and Copenhagen remained the category leader. Turning to our investment in ABI. We recorded $571 million of adjusted equity earnings for the full year, down 10.6% versus 2021. We continue to view the ABI stake as a financial investment, and our goal remains to maximize the long-term value of the investment for our shareholders. In our all other operating category, we have completed our wind-down of Philip Morris Capital Corporation and no finance assets remain. I would like to thank the many PMCC employees who contributed to its success over the years and to the other Altria employees who helped complete a successful wind-down. Finally, we continue to effectively manage our balance sheet while generating strong financial performance and returning significant cash to shareholders. These results were driven by our tobacco businesses that continue to be highly cash generative. Our year-end credit metrics remain strong. Our debt-to-EBITDA ratio was 2.1 times, down 0.4 over the past three years, and our weighted average coupon was 4%, a decrease of 0.2 over the past three years. We also expect to retire approximately $1.3 billion of notes coming due later this month with available cash. In addition, we returned more than $8.4 billion in cash to shareholders last year through dividends and share repurchases. These record cash returns included paying $6.6 billion in dividends and raising the dividend for the 57 time in 53 years. We also repurchased more than 38 million shares during the year, totaling $1.8 billion, which completed our previously authorized program. Earlier this week, our Board authorized a new $1 billion share repurchase program, which we expect to complete by the end of 2023. I’ll now turn it back to Billy to conclude our remarks.
Billy Gifford: Thanks, Sal. While the calls are being compiled, I’ll remind you that today’s earnings release and our non-GAAP reconciliations are available on altria.com. We’ve also posted our usual quarterly metrics, which include pricing, inventory and other items. As we mentioned during the call, we have exciting topics to discuss at our Investor Day next month. We look forward to having a fulsome conversation about our smoke-free future and we are excited to share more about our journey toward moving beyond smoking. Todd, we’ll now transition to the Q&A period.
Operator: Thank you. [Operator Instructions] Our first question comes from Vivien Azer with Cowen.
Vivien Azer: So, I just wanted to start with the industry volume backdrop. I recognize you guys have kind of suspended the historical practice of offering industry guidance, and that makes good sense to me. But just hoping to get some color on how you’re thinking about the potential impact of the menthol ban in California if you think that’s an incremental headwind for the year. Thanks.
Billy Gifford: Sure. Yes, I think it’s a little early to say exactly what that headwind will be, Vivien. Certainly, it will be a headwind from the State of California having banned it. It went into effect, you remember in December. So, we’ll see how that proceeds. But yes, I would say that would be a headwind as we enter 2023.
Vivien Azer: Fantastic. Thanks for that. And then just pivoting to the oral tobacco segment, encouraging to hear some rationalization on the on! promo having fallen 15% in two half ‘22. Can you offer a little color on where that positions on! relative to the competitive set?
Billy Gifford: Yes. We think it’s -- it actually -- we were very pleased with the results we -- as you mentioned, we reduced it 15% first half to second half and it continued its momentum and grew share. We think it’s a growing category, Vivien, and that the entire segment is growing, and we want to participate in that growth. So, we’re continuing to invest behind it. And as we move forward, I think you see the benefit of data analytics. And then, in the future, the application of what most people refer to as revenue growth management that we’ve seen success in traditional smokeless as well as cigarettes. So, that’s what you can expect from us as we move forward.
Vivien Azer: Perfect. And just one last one for you, Sal, please, I recognize it’s premature for us to start modeling royalties from the IP litigation with British American Tobacco because there’s certainly an appeals process. But if you could just contextualize how we should be thinking about that incremental revenue stream as litigation draws to a conclusion, please? Thank you.
Sal Mancuso: Yes, sure. Vivien, you’re right, there is an appeals process. We developed our guidance. We have not considered the royalty, any potential royalties in that guidance. But, as you know, with any year, you put plans in place and there are always puts and takes. So, I think it’s early to really think about how you might model that. Let’s see how the appeals process plays out.
Operator: Our next question comes from Pamela Kaufman with Morgan Stanley.
Pamela Kaufman: How would you characterize the current state of your consumer? And this builds on Vivien’s question, but just wanted to hear how you’re thinking about the puts and takes to figure out volumes in ‘23? Volume declines were clearly very elevated in ‘22. So, do you expect a more normalized year of mid-single-digit volume declines given easier comparisons and moderating gas prices?
Billy Gifford: Yes. Vivien, I know you’re looking for -- I’m sorry, Pamela, you’re looking for guidance on upcoming volume. Let’s talk about the headwinds and tailwinds as we progress through the year. I’ll talk about the consumer first because that’s the most important when you think about volume. I think the consumer remains under pressure. We tried to highlight that it was the compounding of the inflation’s impact as we progressed through 2022. I think you’ve heard as many predictions as I have had soft landing, no deep recession. So, I think even the experts from an economist standpoint are all over the board. We feel good about the guidance that we put out. We feel good about where the consumer is, but we want the adaptability and the flexibility to be able to move with the consumer needs. So I think the consumer will remain under pressure until we see some relief, if you will, from inflationary pressures in the marketplace. Gas prices is just one aspect. That’s -- we certainly have seen a decline, but nowhere near the lows we were seeing as we were pre-pandemic levels. So, gas prices can move around depending on China reopening and things of that nature. So, we’ll see where that goes. I think when you think about volumes, it’s specifically combustible volume. It’s important to remember that what we’re looking at is how the consumer is impacted. Tobacco, the industry is not immune to macroeconomic environment. It’s just less impacted than other industry categories. And so, from that standpoint, historically, what we’ve seen, Pamela, is that as the consumer is experiencing this rapid change in their economic condition, whether up or down, they make changes in their purchasing behavior and then it becomes more comfortable to them through time and they adjust various factors in their purchasing basket. So, it remains to be seen. We’ll see how the macroeconomic shapes up. But I would say that’s the biggest thing and how that macroeconomic impacts purchasing behavior.
Pamela Kaufman: Thanks. That’s helpful. And my other question is just on your 2023 earnings guidance, which reflects a slightly lower growth rate compared to your 4% to 7% guidance over the last several years. So, can you talk about the puts and takes influencing the outlook for ‘23? And how much incremental investment does this reflect behind reduced risk? And are there any other discrete factors contributing to the slight shift in the growth rate?
Billy Gifford: Yes. I think, the last comment you made, I would say there’s a slight shift. We’re very excited about the guidance we put out. I think when you think about it, it’s really the uncertainty around the macroeconomic environment was the biggest impact to the overall guidance. And you’ve mentioned it and you asked about that earlier. It’s where does the macroeconomic environment go through as we progress through 2023 and how does that specifically impact our tobacco consumer across all categories?
Operator: Our next question comes from Bonnie Herzog with Goldman Sachs.
Bonnie Herzog: I had a question about your pricing. Just thinking about the strength in your net price realization and smokeables over the past several quarters, it’s been so darn robust. So I just wanted to hear from you how sustainable you think this is, especially in considering, I guess, the pressure on the consumer and some of the other things you called out?
Billy Gifford: Sure, Bonnie. And I’ll be careful not to talk about future price increases. But the way we think about pricing, as you know, it’s an important part of the algorithm when you’re in a declining category. Remember, our strategy in that category is, maximize profitability over the long term while making appropriate investments in Marlboro in the growth areas. So we see that as the engine that does that. When you think about pricing, I think it’s important to really focusing on what Sal mentioned in his remarks. You see high price realization, but at retail to the consumer from a consumer-facing, Marlboro on average went up about -- just shy of 6.5%, 6.4%. So, the price increase to the consumer is much lower than what you see in the price realization. And we mentioned before price realization is really two components for us. It’s list price, as you would expect, across the industry, but it’s also the implementation of RGM. And so, with that price realization and usually Bonnie, you or one of the other analysts will ask us about price gap, and it’s at 41%. I think it’s important to remember, as we get the data and really that data -- that’s somewhat impersonal. It’s consumer purchasing behavior through time. As we analyze that, what we’re able to do is the price gap varies locality to locality. It can vary store to store, and it can vary within -- even within the Marlboro franchise. You heard Sal talk about -- if you think about that overall price gap of 41%, you have the packing. So, take red and gold in the Marlboro franchise. If you look at total year 2022 to total year 2021, you can see it was very stable. Where we’re seeing it is in those packings or SKUs we have within Marlboro that are there for price-sensitive consumers to have a safe landing point. And so, we’ll continue to implement those tools. As far as how do we think about pricing going forward, we’ve shared with you whether it’s percent of discretionary income, a minutes work and when you benchmark the U.S. against other countries around the world, we’re still at the very low end of that.
Bonnie Herzog: Yes. That’s actually super helpful. And that was going to be a question. I’m pleased you kind of walked through the gap. That’s useful context. Just switching gears, if I may, a question on your oral tobacco business. You highlighted how strong on! volume growth has been and -- but in the context of that, your total oral tobacco revenue and profit growth has been under pressure with a fair amount of margin contraction. So, you did sort of touch on this. But hoping maybe you could talk a little bit further about maybe your strategy for turning around the entire oral tobacco business. Any key initiatives that you could highlight for us, and maybe you’ll talk about this more in March?
Billy Gifford: Yes. We will -- we’re certainly excited to be able to talk about it in March. You’re exactly right. Within the old tobacco space, if you think about that total space, you have traditional moist smokeless tobacco and you have novel oral pouches. Some of the margin contraction you’re seeing is just true mix, right, as consumers are moving from traditional moist smokeless tobacco and novel oral growing, you’re going to have some mix impacts in that overall margin. We highlighted for you the reductions we made in promotional spend per can, but still had the minimum share. I think the biggest thing that we’re excited is to be able to unveil the product that we have designed and have locked down and be able to show at Investor Day what that product is and some of the research related to that. So, more to come at Investor Day.
Bonnie Herzog: Okay. Final one for me, just speaking of that. Any more color you could provide on your smoke-free vision today and maybe just how confident you are that you’re going to be able to deliver on your long-term strategy? I’m sure you’re going to talk through this in an investor meeting and I’m excited to hear about it, but any sneak preview as to what you’re most excited about?
Billy Gifford: I won’t necessarily give you a sneak preview because I don’t want to get ahead of myself for Investor Day, we’d like to unveil it in total context and paint the solid picture for investors. So, I appreciate the question. I look forward to being to unveil that for you at Investor Day.
Operator: Our next question comes from Callum Elliott with Bernstein.
Callum Elliott: Billy, you spoke in the release and in your prepared remarks about making sort of "meaningful progress" on the smoke-free portfolio. And you also mentioned strategic investments in division. But at the same time, your CapEx guide is flat versus last year’s guidance. You’re continuing to deliver all algorithm EPS growth. And I think as you said, to Pam, that any slight reduction is more driven by the macro environment, which presumably also implies little or no incremental P&L investment in NGPs as well. So my question is, what are the strategic investments that you’re talking about? How meaningful are they? And where can we see them in the financial statements?
Billy Gifford: Yes. I think it’s a great question. I appreciate it. I think when you think about where those investments show up, it’s important to remember, they’re not all incremental spend. They’re always puts and takes. They’re going to shift some of those -- the infrastructure that the combustible or traditional MST has bore the cost through history, and you’re going to shift that to the NGP space. We do have incremental investments around NGP product development, the regulatory preparations associated with that and the research associated with that. Here’s an example for you, Callum. If you think about like even the digital consumer engagement, that we’re implementing in traditional smokeable or combustible and MST, and we mentioned in the remarks being able to transition that over. So, you’ll see those costs will actually appear in the combustible and the smokeless before it appears in the NGP categories. So, there’s a lot going underneath the surface, if you will, from an investment standpoint. But there are always puts and takes. We’re trying to be wise with the investment but not restrict growing categories.
Callum Elliott: I guess, the natural follow-up is, if I benchmark relative to your big competitors, both in the U.S. and internationally, the two biggest amongst them are spending literally billions of dollars a year. And my guess is instinctively, if you’re just talking about switching a portion of your cigarette spend, over into NGP, you’re not going to get anywhere close to that billions of dollars a year. And so, the question is, do you genuinely believe you can be successful if you’re spending so much less than those competitors? And then how?
Billy Gifford: Yes, we do believe that we’re trying to really be driven by the consumer, learning from the global marketplace of products in the marketplace and use those as, if you will, a launch point for products and really trying to meet what the desires and needs of the consumers are in the marketplace that aren’t met by those existing products in the marketplace. And so, we feel like we can achieve the vision. We’ve highlighted for you guys that we really believe we can navigate strong returns to shareholders at the same time, making the appropriate investments in these growing categories. And we believe we can do that. I think you’ll continue to hear us talk about investments, and we’ll provide a lot more detail of some of the progress we’ve made at Investor Day.
Operator: Our next question comes from Gaurav Jain with Barclays.
Gaurav Jain: Hi. So, I have three questions. So, first one to you, Billy. We will have a new competitor next year in the U.S. market with IQOS. And when you were distributing IQOS, then the volumes were much lesser than any of us had expected. So, what did you find were the challenges when U.S. consumers came to IQOS?
Billy Gifford: Yes. It’s a great question. I appreciate you asking it, Gaurav. I think when you think about IQOS, it was really about the disciplined approach that we were taking to introduce in a brand-new category. The consumer in the U.S. was used to the e-vapor space. They had understood that. When you’re introducing a new category that requires some education on how to use the product and how to maintain the product that there is investment there that takes place. And we talked about the learnings we had as we went along the way. But I would say the biggest challenge is educating the consumer on the product and then meeting their desires. And I think there’s still unmet needs in the marketplace.
Gaurav Jain: Sure. The next question and perhaps to you, Sal, is around MSA payments next year and how we should factor in inflation? And if you could just help us understand because I think there is confusion that how does that 3% number work versus inflation, or is it the change of inflation that we should be looking at?
Sal Mancuso: Gaurav, you are correct to point out that inflation is a factor when you think about MSA expense. A couple of points I’ll make. One is the high rate of inflation in 2022 has been accounted for and is already in the base. You are correct to point out that when you think about inflation related to MSA, there’s 3% floor. So, even if inflation were measured below 3%, there’d be a 3% increase in the MSA expense. And I’ll also remind you that inflation is measured at a point in time, December 31st current year to December 31st prior year. So, we have considered that when you think about 2023, there will be an elevated level of inflation. We have seen some receding of the rate of inflation, but still expect it to be elevated. So, we have considered that when we put together our guidance. And then finally, I’ll say, there are other factors besides inflation to consider when you think about MSA expense, including volume, shipment share and other such factors.
Gaurav Jain: Sure. And my last question is on share repurchases for next year, which at $1 billion or below what we thought and I think where most people were. And even though your EBITDA is growing -- you’re generating free cash flow after dividends, your leverage will anyway be down when you have the ABI stake. So, what mix you buy $2 billion of stock and not $1 billion?
Sal Mancuso: Well, first, let me say, we’re very happy that the Board authorized a $1 billion share repurchase. And if you think about capital allocation, I think we have a history of taking a balanced approach. So, as you know -- as I noted in our opening remarks, we plan on paying back about $1.3 billion in notes coming due with available cash. We continue to pay a strong dividend as well as the $1 billion share repurchase. Gaurav, I really have nothing to report on the ABI asset. We continue to do the analysis that we do with all capital allocations. And currently, we believe the best thing for the shareholder over the long term is to hold the asset.
Operator: Our next question will come from Chris Growe with Stifel.
Chris Growe: I just had a quick question for you on Marlboro. You have to be very happy with the resilient performance of Marlboro. And obviously, a round at though discount and deep discount share is accelerating, which has seemed to provide some risk to the brand. I’m sure we’re not going to get your promotional program on this call. But I wonder if you could talk about how you see the brand performing in ‘23? And maybe more pointedly, have you increased promotions at a faster rate behind Marlboro to preserve that share where it’s doing so well there?
Billy Gifford: Yes. They’re great questions, Chris. I think when you think about the resilience here at Marlboro, we’re very pleased with it. We’re pleased with how it’s positioned with the consumer. We are pleased with that. It’s still the aspirational brand within the cigarette space. I think when you think about your question on promotions, I would point to you that the high price realization actually shows that we’re able to be more effective and efficient on our Marlboro price promotion. I think it may be useful that -- I talked about Marlboro Red and Gold versus some of the price sensitive, but some of the tools that we have in place actually allow the precision. So, I’ll just walk through a quick example with three consumers. You have one consumer that’s purchasing premium brands and occasionally pops up and buys a discount brand. The other consumer is continuing to flip flopping between premium and discount. And the third consumer is a discount consumer that occasionally pops up and smokes a premium cigarette. When you think about those consumers, you’re going to treat those differently to make them more of a continuous premium brand smoker. That discount smoker, you may never be able to get them to convert to a premium because of the condition -- the economic condition that they’re in. So, as we move to personal value delivery as close as we can get to the consumer, we can tailor that across those three. And so that’s where I refer to the price that being at the national level. We’re doing this down at the local level and on our journey to move as close as we can get to the consumer. And so, that allows us to have Marlboro be resilient, address the consumers’ needs on a case-by-case basis, if we can get really close to the consumer and spend those resources accordingly to have a more consistent premium consumer through time.
Chris Growe: Thanks for that and the color there. I appreciate that. I had one other follow-up, which would be, you do have two relatively unique kind of profit drags this year, with PMCC winding down, obviously, pensions moving around. Could you give some more color around -- or context around the run, how much that’s weighing on profitability this year?
Sal Mancuso: Yes, Chris, I’ll be -- so let’s talk about pensions for a moment. If you think about pensions, obviously, there’s a P&L impact related to return on assets, changes in discount rate, but I would say the pension is really well funded. We have strong funding in that pension plan. It’s actually fully funded. So, we feel really good about that. And I would say the changes in pension expense I’ll remind you a noncash. We have successfully completed the wind-down of PMCC. So, you are correct in that we had earnings and cash flow last year, and this year we will not. And it is a year -- on a year-over-year basis is a slight lag. But remember, PMCC was part of our all other category. It was -- so we consider it fairly immaterial to the total earnings of Altria.
Operator: Our next question comes from Andrei Condrea with UBS.
Andrei Condrea: One for me, please, if you don’t mind. On your smokeless business, especially on what we’ve seen, the brand has been driven by strong discounting versus the main peer. Now, do you expect that to continue going forward or rather just closing the price gap between you and your main peer, even if you put your product -- promo spend per can is decreasing? Thank you.
Billy Gifford: Sure. Thank you. I think when you think about it -- and this is not an excuse, it’s just facts. They had a first mover advantage. And when consumers -- to get consumers to have new brands in their consideration set, you have to induce trial. And that’s what we feel like we’re doing. I would say, from a consumer standpoint, it’s still very small compared to the total nicotine space. So, we’re going to spend while -- and invest while the overall category is growing, so we can participate in that growth. We mentioned previously, it was intuitive that the adult dipper would move to the product pretty quickly and that the adult cigarette consumer, you’re going to have to induce trial and that’s what we’re in the process of doing and are excited about the results thus far. I think through time, we did reduce the promotional spend per can. So, when you think about the price gap, if you will, the way you referred to it, to a competitive product in the marketplace, you’re going to invest while the category is growing, so you get these products in the consideration set. I talked about bringing some of the data analytics. I think you saw the benefit of that in this past year, but we have more to do there. And I think as we continue to progress and move forward, we feel good about it. I don’t want you to think, though, it’s all discount. It’s all priced off. That’s to induce trial. We really see it as a complete marketing ecosystem, if you will. And I hate to use the business term, but it’s surrounding the consumer and really meeting them where they’re at in their journey and then supporting in that journey to fully transition over, if you will, from cigarettes to this novel oral pouch. And so, that’s where we’re at. We feel good about the progress we’ve made thus far, but we certainly have to continue to drive awareness of the induce trial.
Andrei Condrea: That’s very clear. Thank you. And yes, you are completely right. It has been fantastic progress for one. And if I could squeeze in just one more if you don’t mind, is that Marlboro has indeed done very well, and congratulations for that. But for the rest of your portfolio, as small as it is versus Marlboro, what steps are you taking to defend your market share versus pressure, both from peers on the very top end of the price and the bottom end? Thank you.
Billy Gifford: Yes. I would say if you look at growth, I would say the growth, if you look at competitors has really been at the very, very bottom end. Sal highlighted in his comments, there are a number of major manufacturers that have what we would consider branded discount priced in deep discount space. And so, when we look at total portfolios for some of those, we don’t see the benefit of having gone down to that low price tier. They may grow one brand to the detriment of another brand within the discount space. So, we want to participate in the discount category. We think it’s important, but we certainly don’t want to grow the discount category. And I think being premium focused where we feel the profitability and the high loyalty is in the cigarette space is an important place to play, and that’s where we’re focused. And Sal highlighted for you, our premium brands are growing. Total premium share of the premium space is growing through time on the backs of Marlboro. So, we’re pleased with that. We talk about the RGM tools, so I won’t repeat that. But being able to continue to get closer to a consumer-by-consumer basis and meet them where they’re at when they have needs is where we’re headed. And we’re excited about that progress.
Operator: [Operator Instructions] Our next question comes from Priya Ohri-Gupta with Barclays.
Priya Ohri-Gupta: So I really appreciate your commentary, Sal, around the intent to pay down your upcoming euro maturity later this month. I guess, as we take a step back, your euro-denominated debt has really sort of come down, I guess, partly driven by sort of the income that you’re receiving from the ABI stake given that that was sort of a natural hedge. Given where sort of your euro exposure stands now in terms of your debt portfolio, are you with where that is, or is there a need to continue to grow that euro exposure over time, either synthetically or through outright issuance in that market?
Sal Mancuso: Yes. Priya, first, I’m going to start my answer by just reiterating, I really have nothing to report. And as it pertains to ABI, we continue to believe holding the asset is in the best interest -- long-term interest of our stakeholders. Second, I would tell you that while we have flexibility, it’s really a market-by-market analysis and a transaction-by-transaction analysis related to what markets we may or may not enter as we think about managing our debt going forward. So, that’s kind of how I would answer your question.
Operator: At this time, we will open the Q&A to members of the media. [Operator Instructions] We’ll take our next question from Jennifer Maloney with The Wall Street Journal.
Jennifer Maloney: My first question is about your JUUL valuation. I saw that you lowered the value of your stake to a price that values JUUL at $714 million. I wondered if you could explain the reasoning behind that valuation decrease. I was a little surprised because in the fourth quarter, JUUL resolved a large part of the litigation that it faced, which eliminated some of the uncertainty around the company. So, could you explain that valuation?
Sal Mancuso: Sure. Good morning, Jennifer. First, I’ll remind you that we had taken an impairment related to litigation, and we really captured it within kind of our overall discount rate of the JUUL assets. So, we had accounted for that. But on a quarterly basis, the way we account for JUUL is, has us run an analysis of the fair market value of the investment. It’s not publicly traded, so we have to do an independent analysis. And from quarter-to-quarter, there’s going to be changes, and we’ve been pretty communicative about that. This quarter, it did -- our investment was reduced to $100 million and it’s really macro driven, it’s really macroeconomics and other factors that are considered when doing that analysis.
Jennifer Maloney: So, things like inflation and possible recession?
Sal Mancuso: Yes, macro market conditions, inflation, discount rates, things like interest rates, consumer dynamics, all of that goes into the analysis.
Billy Gifford: You’ll note, Jennifer, when you build a discount rate, it starts with a risk-free rate. So certainly, the interest rate increases we’ve seen through time are going to continue to impact it as long as they’re still on an upward trajectory.
Jennifer Maloney: Got it. My second question is a little more color around the consumer purchasing patterns right now. Can you talk a little bit more about what you’re seeing consumers doing? The volume has come down. So, is it because people are making fewer trips to the store to purchase cigarettes, or are they buying less each time? Can you sort of talk about what the actual pattern is?
Billy Gifford: Yes. It’s a great question. What we’re seeing is as we see mobility increase, if you will, the U.S. is coming out of the COVID pandemic, we’re actually seeing a return to more frequent trips. Remember, our consumer pre-COVID would go either every day or every other day. I think what you’re seeing and what consumers tend to do when they get under economic pressure is they reduce their number of nicotine occasions in a day. So through time, that factors into their purchasing behavior. You see a little bit, and we highlighted that, which was the consumers that are under dire economic conditions at times will either switch out or trade out to a cheaper brand. We try to give them a safe landing place within the Marlboro franchise. But as far as a number of trips, we haven’t seen a reduction in the number of trips. It’s more about through time, reducing their nicotine occasions.
Jennifer Maloney: I see. So, they’re smoking fewer cigarettes per day?
Billy Gifford: That’s correct. So remember, as we came into the -- there’s no change in the overall trend, if you will, the long-term trend. As we went through COVID and there was less mobility, less societal pressures, we actually saw what we believe nicotine occasions go up. We see in -- when the economic conditions and the macroeconomic environment is greatly impacting the consumer, they will strict their nicotine occasions. As they become more comfortable with that they tend to return to a normal trend.
Operator: Thank you. It appears at this time we have no further questions. I’ll turn the call back over to Mac Livingston, for any additional or closing remarks.
Mac Livingston: Thanks to everyone for joining us. Please contact the Investor Relations team if you have further questions. Thanks, and have a great day.
Operator: This concludes today’s call. Thank you for your participation. You may disconnect at any time.